Operator: Good morning. Thank you for attending today's Clarivate Q1 2023 Earnings Conference Call. [Operator Instructions] I would now like to pass the conference over to your host, Mark Donohue, VP of Investor Relations with Clarivate. Thank you. You may proceed.
Mark Donohue: Thank you, Joe and good morning, everyone. Thank you for joining us for the Clarivate 2023 earnings conference call. With me today are Jonathan Gear, Chief Executive Officer; and Jonathan Collins, Chief Financial Officer. Both will be available to take your questions at the conclusion of the prepared remarks. As a reminder, this conference call is being recorded and webcast and is copyrighted property of Clarivate. Any rebroadcast of this information in whole or in part without prior written consent of Clarivate is prohibited. An accompanying earnings call presentation is available in the Investor Relations section of the company's website, clarivate.com. During our call, we may make certain forward-looking statements within the meaning of applicable securities laws and such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results, performance, achievements or developments expressed or implied by such forward-looking statements. Information about the factors that could cause actual results to differ materially from anticipated results or performance can be found in Clarivate's filings with the SEC on the company's website. Our discussion will include non-GAAP measures or adjusted numbers, including organic revenue and adjusted EBITDA. Clarivate believes non-GAAP results are useful in order to enhance an understanding of our ongoing operating performance but they are a supplement to and should not be considered in isolation from or as a substitute for GAAP financial measures. Reconciliation of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website. After our prepared remarks, we'll open the call to your questions. And with that, it's a pleasure to turn the call over to Jonathan.
Jonathan Gear: Great. Thank you, Mark. Good morning, everyone and thanks for joining us. I'm going to start by briefly covering our first quarter results. Then I will provide an update on some key improvements and announcements as part of our commitment to accelerate our growth. As we discussed at our Investor Day in March, we are driving change and investing across our segments which will create a compounding cash generation machine for our shareholders. Turning to our financial results. The first quarter was in line with our expectations. And as a result, this morning, we reaffirmed our 2023 full year outlook. We continue to expect an improvement in our business throughout the year as we begin to realize the benefits of our growth initiatives and cost savings. While there has been much external discussion about global economic challenges, we have not seen any impact to our outlook for the year. As a reminder, our business has proven resilient during prior recessions due to the critical nature of our products and services. Revenue in the first quarter was $629 million, down from the prior year's first quarter because of the divestiture of the MarkMonitor business and the strengthening of the U.S. dollar. Organic revenue growth, as expected, was essentially flat in the first quarter. We did deliver 3% subs growth which was driven by the Academia & Government segment, including improved performance from Web of Science which I will cover in more detail shortly. The strength in our total subscription base helped to offset the difficult first quarter comparisons across reoccurring and transactional revenues compared to the prior year period. We delivered strong free cash flow of $168 million in the first quarter which was used to prepay debt while still reinvesting in product development to accelerate growth opportunities. We are seeing the initial benefit of this focus and investment in the Academia & Government segment, where we made the earliest investments into growth. I will spend the next few minutes diving deeper in the progress we are seeing in this segment. We are off to a great start with Web of Science which is starting to yield benefits from last year's investments. At the end of 2021, we completely overhauled the user interface of the platform to drive ease of use and customer engagement. We started to see positive development in 2022, with active usage up 78% versus the prior year. As we turned the calendar to 2023 and the heavy renewal period in the first quarter, we saw a 350 basis point improvement in the Web of Science renewal rate. We also delivered a 16% improvement in new subscription sales growth. These 2 improvements in our subs base for Web of Science bode well for continued improvement, financial results the rest of the year. In addition, one of the value adds we delivered recently was the creation of the Preprint Citation Index. This utilizes information from pre-published content to accelerate discovery for academic research. This enhancement makes it even easier for researchers to include preprints in their existing research workflows. Thus, the Web of Science can be used as a single portal to search across journals, books, proceedings, data sets and now preprints, streamlining the research process and helping to make important connections faster. That's driving more customer value into this critical platform. Following the ProQuest acquisition, our teams have been working on exciting new integrations between our products to enhance value. We have integrated holdings data from our flagship library software platform, Alma, into our leading research analytical tool, InCites, to generate custom collection management reports. This allows universities to obtain unique insights into how faculty interact with publications, based on published papers, citation activity and other key indicators. This also helps customers identify journals that their researchers cite and helps locate titles that cite their organization's research to help make purchasing decisions. This enhances value for both platforms. In Q1, we announced the expansion of our Journal Impact Factor into new content areas and journal coverage. This will increase appeal to parse the market that we currently under-serve. These improvements increase the combined value proposition and is an enabler of getting customers to add the product. Additionally, with an enhanced and improved product, there are opportunities to sell the Web of Science to corporations that are heavy investors in R&D. In the coming quarters, as we accelerate investments in the IP and Life Science & Healthcare segments, I look forward to sharing details of additional areas of progress with you. Our products and services are used by thousands of people daily to direct and guide the work. Put simply, we help people and organizations think forward. By bringing together enriched proprietary data across our 3 segments, we leverage the power of our insights and analytics to identify the world's top innovators and spot key future trends. For example, in Q1, we revealed our 2023 list of top 100 global innovators and our Drugs to Watch report. These are just 2 examples of our thought leadership programs and depth of expertise in our markets designed to create demand and build customer advocacy to support our growth initiatives. Another exciting development in Q1 has been our continued adoption of AI to enhancing value propositions of our solutions. As I'm sure you're all aware, the output generated by AI are only as good as the input data. As you can see on the bottom left, at Clarivate, we have billions of proprietary best-in-class data assets which are expertly curated and interconnected. These proprietary assets feed our machine, deep learning and large language models to enrich our data and power our insights, our services and our workflow solutions. I'd like to share a few examples of how we are currently leveraging AI across our solutions. In Academia & Government, we are using this technology to identify and remove questionable academic journals from our Journal Impact Factor. This is critical to enhancing Web of Science as a continued gold standard for academic research content. In Intellectual Property, we are leveraging large language models to instantly translate and summarize patents. We're also using image recognition and deep learning for faster and accurate classification of trademarks. For example, Brand Landscape Analyzer combines AI with human expertise and Clarivate proprietary trademark and IP litigation content to assist clients in making informed trademark risk decisions. Specifically, the Darts-ip litigation data is utilized to develop an automatically generated risk score which can be used to identify which potential trademark oppositions are most likely to succeed. Finally, in Life Science & Healthcare, we are drawing upon our connected data lake to generate predictors of future success relating to clinical trials' progressions, regulatory approvals and even valuations on M&A candidates. As these examples demonstrate, we are actively using AI, including large language models, to ensure we provide our customers with the highest-quality integrated public and proprietary content and insights. We strongly believe the use of generative AI represents a significant opportunity for our business to accelerate our expansion into predictive analytics, as we discussed at Investor Day, leveraging our proprietary and rich data and content. The team continue to develop ways to enhance our overall offerings with generative AI and engage with our customers to prioritize critical use cases. I look forward to sharing more examples with you in the future. Moving on to our organization. I announced at the end of fourth quarter our new segment structure to drive agility, innovation and accountability. I am very pleased that we have now completed the hiring and appointment of leaders for each of our segments. Bar Veinstein, who brings more than 25 years of leadership experience, is leading our Academia & Government segment. He previously spent 11 years with Ex Libris and ProQuest. He was initially responsible for the transformation of Ex Libris products and business to a cloud-based SaaS model with the release of Alma. And later, as President of Ex Libris, he led the organization toward a new era of growth with the launch of innovative products, such as Esploro and Rapido. Most recently, he was Chief Executive Officer at Taranis, an AI-powered agricultural intelligence provider, where he drove significant business growth and accelerated the company's AI strategy. With his vast experience in the industry, existing connections to customers and in-depth knowledge of our products and drive for innovation, Bar is the ideal leader for our A&G segment. Gordon Samson, who most recently served as our Chief Product Officer, has been appointed President of the Intellectual Properties segment. Gordon has made many significant contributions to Clarivate since joining us through the acquisition of CPA Global in October of 2020. In the last 3 years, he has held a number of executive leadership roles around the company, including leading the transformation of our APAC region and successfully bringing together our entire portfolio -- product portfolio with a very -- for the very first time as our Chief Product Officer. His experience and knowledge of both Clarivate and the IP industry is second to none. As we pivot our operating model to align with our core customers and end markets, he is perfectly placed to accelerate growth across the IP segment. Henry Levy, who I've appointed as President of the Life Sciences & Healthcare segment, is a well-respected life sciences expert and the author of multiple articles on drug development and technology trends. Henry has an excellent track record in the industry with more than 25 years of experience helping life science companies use data and technology to transform their business. He joined us from Veeva Systems, a global leader in cloud software, where he most recently served as President of Global R&D and Quality. Previously, he was Chief Commercial Officer for PPD, where he defined new models for biopharmaceutical companies to partner with contract research organizations to drive down cost and improve the speed of drug development. He also spent time as a consultant, leading Accenture's Life Sciences R&D practice. I also want to thank and acknowledge the leadership of Steen Lomholt-Thomsen, our Chief Revenue Officer, who will be leaving us in July. Steen was instrumental in elevating our commercial and go-to-market processes and culture across the business. I wish him all the success in his future endeavors. In addition to improving our leadership team, we recently enhanced our governance through changes to our Board of Directors. With the transition of our Board composition, our Board size is now 11 members compared to 14 which will help improve efficiency. On behalf of the Board and myself, I wish to thank Sheryl von Blucher, Kosti Gilis, Bala Iyer and Roxane White, for their valuable service on our Board. They have been instrumental in helping to guide the company forward since its public offering a few years ago. We are very pleased to welcome Dr. Saraubh Saha to our Board. Dr. Saha is a physician-scientist, pharmaceutical executive and biotech entrepreneur dedicated to discovering and developing novel life-changing medicines. He will bring a great deal of experience in the pharmaceutical and biotech industries and his guidance will provide valuable insights and perspective, especially as we continue to execute on our growth strategy in the Life Sciences & Healthcare segment. Before I turn the call over to Jonathan Collins, I want to update you on one of our near-term financial initiatives which we outlined at our Investor Day in March. We are generating strong cash flow and currently expect to deliver between $450 million and $550 million of cash this year. At our Investor Day, we discussed the importance of getting our leverage level to where it needs to be, under 4x net leverage this year with a path to under 3x by 2025. In the first quarter, we prepaid $125 million towards the Term Loan B which creates a clear path to achieve our 2023 net leverage objectives. Importantly, this will not impact our ability to invest in R&D to drive greater performance across our business. In closing, I want to thank my colleagues for their dedication, hard work and strong collaboration as we continue to build Clarivate into a leading information services company. We are moving in the right direction and I look forward to sharing our progress with you. I will now turn the call over to Jonathan Collins.
Jonathan Collins: Thank you, Jonathan and good morning, everyone. Slide 14 is an overview of our first quarter results compared with the same period last year. Q1 revenue was $629 million, a decrease of $33 million or 5% compared to the same period last year, driven entirely by the MarkMonitor divestiture and foreign exchange, as organically, the business was essentially flat as we expected. Adjusted EBITDA margins expanded 60 basis points over the prior year to 40.2% in Q1 due to the cost synergies from the ProQuest acquisition. First quarter net income was $25 million, down $26 million due to a $100 million mark-to-market gain on the private warrants last year that did not recur this year which was partially offset by a favorable resolution of an international tax dispute worth $70 million. Adjusted diluted EPS which excludes the impact of both items, was $0.18 in Q1, a $0.03 decline over last year. $0.02 of the reduction was attributed to higher interest expense due to increases in base rates and $0.01 was attributed to the MarkMonitor divestiture. Operating cash flow was $228 million in the quarter, an increase of $160 million, largely due to the $141 million payment made last year from the employee benefits trust for the CPA Global equity plan. This also drove the entire increase in free cash flow as higher interest and capital spending was offset by lower working capital requirements. Please turn with me now to Page 15 for a closer look at the drivers of the first quarter top and bottom line changes from the same period last year. Our first quarter revenue came in exactly as we anticipated. The top and bottom line changes over last year were driven by 4 key factors. First, revenue was essentially flat organically. However, we began to invest in earnest to accelerate organic growth through product innovation which led to a nearly $10 million increase in operating expenses and lowered profit by the same amount. Second, inorganic activity, namely the divestiture of the MarkMonitor business, lowered revenue, $19 million; and profit, $9 million. Third, cost synergies from the ProQuest acquisition contributed $13 million of incremental profit. And finally, the translation impact of subsidiaries denominated in foreign currencies lowered revenue by $13 million as the U.S. dollar remained stronger than a basket of foreign currencies compared to the same time last year. This caused a profit decline of $3 million and the impact was muted as the translation effect was ameliorated by a couple millions of transaction gains. Please turn with me now to Page 16 to step through the conversion from adjusted EBITDA to free cash flow and how we use these proceeds to continue prosecuting our plan to deleverage, as Jonathan touched on just a few minutes ago. Free cash flow was $168 million in the first quarter, an increase of $142 million over the same period last year. The conversion from adjusted EBITDA improved by 56 percentage points to 66%. We incurred $33 million of onetime costs in Q1 to substantially complete the integration of the ProQuest business, culminating in $100 million of annual cost synergies going forward. These costs were down $133 million as a result of last year's payments for the CPA Global equity plan. Interest payments were $41 million in the quarter, up $13 million over the prior year, as base rates have increased and about 1/4 of our debt remains floating. Cash taxes were negligible in the first quarter, just as they were last year, due to the seasonal nature of our payment cycle. Working capital was a source of cash of $51 million in Q1 when it was relatively flat last year, leading to a significant improvement, driven largely by the timing of payments within our patent renewal business in our IP segment. And finally, capital expenditures were $59 million in the quarter, an increase of $18 million over last year, as we ramp up our investments in product innovation and experience the timing of payments as well. We still expect to increase our full year capital spending by between $35 million and $40 million. We used the first quarter free cash flow to continue servicing our preferred stock with a cash dividend of $19 million and to prepay $125 million of our Term Loan B, lowering our leverage and reducing our interest rate exposure. Please move with me now to Slide 17 for our perspective on the remainder of this year. Our first quarter results place us squarely on track to deliver a full year outcome within our guidance ranges which remain unchanged from what we outlined back in March. We continue to expect organic growth will improve sequentially in 2023 to about 3.25% at the midpoint of our range. Assuming exchange rates remain relatively flat; this would deliver revenue of about $2.68 billion at the midpoint of the range. The year-over-year organic revenue comps will remain relatively challenging in the second quarter of this year, so we expect first half organic growth to approach 1% and second half growth of about 5%. There are a few factors driving this phasing. First, we'll lap the revenue impact of ceasing our operations in Russia in the second quarter. So this remains a headwind in the first half of the year, largely in our A&G segment. Second, the consultancy within our LS&H segment began to improve late last year. And while our utilization rates continue to progress, our revenue will be lower than the first half of last year. And finally, in our IP segment, we had some significant accelerations of renewal payments in March and June of last year, leading to H1 organic growth of 8% in the reoccurring order type. These accelerations will not recur this year. And as a result, we expect an organic decline in our reoccurring revenue in the first half but expect full year organic growth for reoccurring revenue to be in line with last year's results. We also started to see a downturn in our cyclical trademark business in this segment last year but will lap the higher comps towards the end of the second quarter. We anticipate adjusted EBITDA and profit margin at $1.1 billion to $1.16 billion and 42% to 42.5% at the midpoint of the ranges, respectively, resulting in $0.80 of adjusted diluted EPS at the midpoint of the range. And finally, we continue to expect free cash flow of $0.5 billion at the midpoint of the range. Please turn with me now to Page 18 for the major drivers of the expected revenue and profit growth for the full year compared to last year. The drivers of the expected full year top and bottom line growth compared to last year are the accelerating organic growth, the inorganic impact of divesting the MarkMonitor business, the carryover impact of the ProQuest cost synergies that are nearly complete and foreign exchange. Organic growth of 3.25% should add about $85 million to the top line and convert to profit at 30%, contributing about $25 million to the bottom line. As we've indicated before, organic growth will need to accelerate to the 4% to 5% range in order to expand margins. We're making a conscious choice to fund investments that will deliver the product innovation that will catalyze accelerating organic growth to these levels by next year, as we outlined in detail at our Investor Day in March. And as Jonathan highlighted earlier, we're off to a great start in the research and analytics group within our A&G segment and this performance in Q1 increases our confidence in our full year outlook. Inorganic actions will be a headwind to our results this year. We closed on the divestiture of MarkMonitor in the fourth quarter of last year and this will create a $65 million headwind to revenue and a $30 million decline in adjusted EBITDA. The team is wrapping up the integration of the ProQuest acquisition, enabling us to deliver the remaining $40 million of cost synergies this year. We do not anticipate a meaningful foreign exchange impact to the top line on a full year basis. However, we expect to continue to experience a revenue headwind in the next few months, that should be offset by tailwinds in the second half. We also do not expect to repeat the transaction gains we saw late last year which will cause a nearly $15 million profit headwind. Please turn with me now to Page 19 to walk through how we expect the more than $1.1 billion of adjusted EBITDA will convert to about $0.5 billion of free cash flow and our plan to allocate this capital. Last year, we incurred more than $200 million in cash outflows associated with onetime costs related to the acquisitions. The majority of this came from restricted cash from the CPA employee benefits trust that was funded at closing of the acquisition back in 2020. We expect an improvement in onetime cost of about $165 million this year as we incur about $50 million, largely to complete the ProQuest integration. Most of the improvement was recognized in the first quarter, so the balance of the year will be more in line with last year. We do expect a cash interest increase of about $20 million as base rates in the forward curve have moved up meaningfully compared to late last year. Most of the increase occurred in the first quarter, so the balance of the year will be more comparable to last year. Our working capital requirements are expected to level off this year, yielding an improvement of about $65 million. Much of this improvement incurred in the first quarter, so we anticipate a modest enhancement in the balance of the year, subject to normal seasonality. We intend to increase CapEx by about $35 million to $40 million to accelerate organic growth. The impact of all of these changes is a nearly $200 million improvement in free cash flow to $500 million at the midpoint of the range. As we indicated in March and have reiterated today, we plan to use the majority of this year's free cash flow to continue to prepay debt on our Term Loan B to deleverage to a level of less than 4x by the end of the year. Please turn with me now to Page 20 for our perspective on how our near-term results position us to achieve our long-term financial objectives. Our Q1 results are a step in the right direction towards delivering the financial objectives we outlined at our Investor Day in March. As you'll recall, our primary aim is to accelerate organic growth. The first area we committed to improve was the research and analytics subsegment within A&G. And our first quarter top line metrics, namely the 4 percentage point improvement in the renewal rate and the double-digit new subscription sales growth that delivered 3% revenue growth, bode very well for delivering the improvement in this area in 2023. Our second goal was to maintain durable profit margins as we invest to accelerate our growth. We execute on this objective in the first quarter as our margins expanded by 60 basis points, even as we increased our operating and capital expenditures to drive product innovation. The third objective we outlined was to significantly improve our free cash flow which we delivered in Q1, as our conversion reached 66% on significantly lower onetime costs. And finally, we committed to allocate our capital in a disciplined manner. In the near term, we were clear it's imperative for us to lower our leverage to below 4x and we continued that journey by prepaying $125 million of term debt in the first quarter. The entire Clarivate team remains laser-focused on unleashing the product innovation that will connect our customers to intelligence with the power to transform the world, enabling us to achieve these financial objectives. I want to thank all of you for listening in this morning and I'm now going to turn the call back over to Joel to take your questions. [Operator Instructions] Joel, please go ahead.
Operator: [Operator Instructions] The first question is from the line of George Tong with Goldman Sachs.
George Tong: You mentioned that you're not seeing any currently macro impact to the business because of its resilience to recessions and the critical nature of its products. Historically, you've seen some macro sensitivity around trademarks and patent volumes. Has that dynamic changed? And if so, what's driven that change?
Jonathan Gear: George, thanks for the question. So I mean, it's a couple of comments I would make. As we commented at Investor Day, we are extremely resilient, as you well know, to macroeconomic trends and downturns. I mean, certainly, when we built our outlook heading into this year, we expected there will be challenges. And so we've been able to say no, no surprises. On the biotech side specifically, there's been very little impact. As you know, the vast majority of our revenue comes from large biotech, large pharma which have not been impacted by funding. So really, we haven't seen any material impact.
Operator: The next question is from the line of Andrew Nicholas with William Blair.
Thomas Roesch: This is Tom Roesch on for Andrew Nicholas. I just wanted to kind of get additional color and some -- and see if you could provide additional detail on kind of what happened on the transactional side of the business during the quarter.
Jonathan Collins: Yes. Just maybe a couple of things to highlight the changes last year. So the transactional and reoccurring order types, the non-subscription parts of the business, were down versus last year. The reoccurring order types were entirely due to the acceleration we saw in March of last year for patent renewal payments. So that was intentional and was supporting our customers by providing them the best value there. That did not recur this year. As I mentioned in the comments, we expect that to unwind in the second half of the year and that the full year results for reoccurring order type revenue growth organically will be pretty comparable to last year. On the transactional side, I'll point to a couple of areas by segment. I highlighted in some of the prepared remarks that we have the consultancy which is transactional within life sciences. Where that business was declining in the first half of last year, it started to improve late in the year. So the comps for Q1 are pretty challenging there. So that drove some of the decrease in the life sciences category. We had very strong real world data sales towards the end of Q1 of last year and they were pretty decent this year but a little bit of a headwind there. And within our IP segment on the transactional side, as we just touched on a moment ago, the one part of our business that sees some impact related to the macro is our trademark business. That started to turn down late in the second quarter of last year, so we still had really tough comps on that part of business in the first quarter of this year. So when you package all of those, you get to a place where we had a headwind in Q1 on the non-subscription order types compared to last year.
Operator: The next question is from the line of Toni Kaplan with Morgan Stanley.
Toni Kaplan: Jonathan, you mentioned the inflection in Web of Science this quarter. I know you talked about having the overhaul in late '21. So I wanted to understand, do you view this positive trend in Web of Science as sustainable? Or was there anything that we should know about? Like in terms of was it an easy comp or some other factor that led to positive growth this quarter? But like good trajectory but maybe not continuing? So just wanted to see your confidence there.
Jonathan Gear: Sure. Thanks, Toni. Yes, no. We're very confident this is a turning point within Web of Science. We -- and I'll kind of walk through the litany list. First, the pickup we're seeing is in subs. And we saw it first in increased usage last year. And as you know, Toni, usage drives value. That shows we're driving value into the product. We saw that in the -- in some of the highlights I mentioned in my prepared remarks around both renewal rates as well as new sales in our subs base. And the subs base is what's going to be driving and lifting the product that -- this year and heading into next year. So we're feeling very, very good about that. I mean, last year, we were impacted by Russia, that we're getting no benefit in Q1 of that. As Jonathan Collins mentioned in his remarks, that will be an issue through Q2. So the turnaround we're seeing, we're feeling great about it. The team has done a phenomenal job. The customers are reacting with their wallets in the subs base. So it's certainly sustainable and we feel it is the turning point we were expecting.
Operator: The next question is from the line of Peter Christiansen with Citi.
Peter Christiansen: The 96% renewal rate, was that just for Web of Science or total subscriptions? And then I just want to dig into that number a little bit. Like how should we think about like what areas where you saw -- like end markets or end users, did you see the most improvement in renewal?
Jonathan Collins: Yes, you got it. So the 96% is for the research and analytics subsegment within A&G. The vast majority of that is the Web of Science product but it also includes products like InCites that Jonathan referenced, that's being integrated with Alma, our ERP for the library, if you will; and other small products, like EndNote as an example. But that category improved. So that 96% is calculated based on the ACV, so that's a great leading indicator for how the subscription revenue will play out for the balance of the year. We've said in the past that, in this category, a significant majority of the renewals occur early in the year and in particular, in the first quarter. So it bodes really well for how the revenue will play out in this area on a subscription basis for the balance of the year.
Operator: The next question is from the line of Seth Weber with Wells Fargo.
Seth Weber: I wanted to go back to the transactional discussion for a second. I think on the fourth quarter call, you talked about having a bigger pipeline or a bigger backlog of transactional on data services, data sales and stuff like that. I guess my question is, has that changed at all? And when would you expect transactional comps to turn positive?
Jonathan Collins: Yes. Great point, Seth. So the answer is yes, that is giving us. And the way we highlighted that in the commentary was, it increases our confidence in the stability of those sales. So we have better line of sight. So the fact that our first quarter results came in right where we expected was enabled or supported by the fact that we had a nice backlog for some of our transactional business. In terms of when the comps improve, I'll just go by area. In the consultancy, the comps get better in Q2. So we'll start to see some progress there in life sciences. Real world data comps for Q2 are still going to be pretty challenging within life sciences. We had one of our best quarters ever at the time. It was our best quarter ever in that area, so they'll still be a little bit tough. So broadly, in life Sciences, they'll get a little bit better but still some pressure from real world data. On the IP side, we start to see some of the pressure alleviate, particularly in the trademark business. So as we mentioned, that business started to see a downturn in -- towards the end of Q2 of last year. So towards the end of the second quarter, we'll start to see a little bit of relief. However, on the reoccurring order type, we had high single-digit growth in Q2 of last year within the renewals servicing business in the IP segment, so that comp is still going to be really tough. So that's why we indicated that we think that first half organic growth is probably going to be approaching 1%, because we're still going to see some challenges in the second quarter with the comps. But certainly improve significantly as we move into the second half of the year which is why we think we'll see mid-single-digit growth in H2.
Seth Weber: Okay. But you're not seeing anything kind of leak out of that backlog or order book that you kind of referenced on the fourth quarter?
Jonathan Collins: No, not materially. No. We're encouraged by how that's held up and the predictability it affords us. We obviously had some challenges last year with predicting some of that and that's helping as we move into 2023.
Operator: The next question is from the line of Shlomo Rosenbaum with Stifel.
Adam Parrington: This is Adam Parrington on for Shlomo. Could increased use in AI potentially result in increased competition in the trademarks part of the business as AI becomes more widely accessible?
Jonathan Gear: Yes, I'll go ahead and tackle that one. We're feeling very good about our position. When we look at the leverage of AI which as you know, we've been able to use that ourselves for years, companies have been using it for years. And as I highlighted in my remarks, it's something we're leaning into very heavily. But if you take specifically our trademarks, we launched a product last year called Brand Landscape Analyzer which is precisely about leveraging our enhanced proprietary content, our knowledge in the marketplace, our knowledge of the customer workflows. And we're using advanced AI to generate that product. And it's about creating new opportunities within our customer base. So we actually see it ourselves as an opportunity. We're leveraging it ourselves and we'll continue to do so going forward.
Operator: The next question is from -- is a follow-up from the line of George Tong with Goldman Sachs.
George Tong: To follow up on the comment you made earlier. You expect the first half organic revenue growth to be about 1%, second half organic revenue growth to be about mid-single digits. Can you elaborate on the cadence of what organic revenue growth should be in 3Q, 4Q? In other words, should we see a significant jump going from 2Q to 3Q? Or should it be linear? What are your expectations there? And what are the key drivers of improvement over the remainder of this year?
Jonathan Collins: Yes. Thanks for that, George. So we'll give a little bit more color on that as we report our Q2 results. But in principle, we're going to expect a pretty significant step up sequentially from Q2 to Q3. Comps in Q3 are going to be pretty soft. You'll recall, Q3 of last year was pretty soft. But we'll give a little bit more color. But in principle, we'll see a pretty meaningful sequential improvement from the second to the third quarter. But more to come on that in a few months.
Operator: [Operator Instructions] The next question is from the line of Stephanie Moore with Jefferies.
Stephanie Moore: I think it was helpful at your Analyst Day where you kind of talked about some of the different areas and the progress as we thought through 2023 through 2024. I think Academia & Government had the most progress in 2023, so I would love to get an update on kind of where that stands. Is that still on track in terms of kind of the renewal cycle, particularly for Web of Science? And then as you think of maybe the opportunity within life sciences and IP, is there any opportunity with some of that -- some of those investments start to come to fruition a little bit earlier? Or are those still a 2024-ish event? I would love to get your updated thoughts there.
Jonathan Gear: Sure. I'll go ahead and dive in there, Stephanie. So first, if I go to the segments, within A&G, the area which we have to get right to turn around within research and analytics which is Web of Science. As Jonathan mentioned, I think, in his earlier remarks, our big renewal period is in Q1 and so we had to get that right. And the results we saw in Q1, that I identified both our renewal rate, improving that dramatically, improving our new sales dramatically is, to me, the proof point we've been both expecting. But really, it had to happen to say, "Okay, we feel very good about the trajectory there." So I put a big check mark by A&G in terms of doing what we need to do. I feel very good about that segment. Now on the next two, within IP, the piece we have to get right is around patent and trademark intelligence. That includes our Derwent product which is the one we've highlighted over years. We're making great progress about that with our product -- new product leadership we have there. We actually had a review of that with our Board last week. So I feel very good about the path there. We have the strategy in place. We're executing against that plan. Do I expect that to impact '23 revenues? I don't. I don't. So if that happened, that would be a positive surprise. We don't require that to happen. And we expect that to really impact in 2024. Then in Life Science & Healthcare, again, the key segment we have to get right was around commercialization. I feel just as incredibly excited to have Henry on board. I'm looking forward to getting him in front of you, along with Bar, our new Head of A&G. He is a great industry leader. He's diving in there. We are executing against plans, again, there to create new products innovation. But similar to what we're seeing in IP, I don't expect nor do we require to have a revenue impact in 2023 to hit our '23 plan. So at this point, we expect that to be '24 and later. If it happens earlier, that will be a nice surprise. We'll call it a surprise if that happens.
Stephanie Moore: Okay. Understood. And just as a follow-up, can you talk a little bit about the pricing environment? And if you've seen any maybe acceleration from historical levels and kind of your expectations of pricing contributing to growth in the back half?
Jonathan Collins: Yes. I would say our first quarter pricing was as expected. So we had generally indicated before that we were able to move our effective price increases across the board closer to about 4%. And that's generally where we see them in the near term. It's not a meaningful lever of the improvement from 2022 to 2023. As Jonathan highlighted, that's really coming in the A&G category within research and analytics. So broadly, pricing across the board is in line with expectations. The environment is pretty consistent with what we saw last year.
Operator: Thank you. There are no additional questions waiting at this time. I would like to turn the call back over to Jonathan Gear, CEO, for concluding remarks.
Jonathan Gear: Okay. Great, Joel, thanks so much. And everyone, thanks much for joining our call this morning. This is obviously a very important quarter for us as it demonstrated the turning point in the first of our 3 segments which had to turn which was A&G. So we feel very good about the progress being made there. And again, it's a very -- this was a critical quarter for us for delivering the year. And really, we look forward, in future quarters, of coming back and sharing additional progress in the other areas. So with that, we'll wrap up. And thanks so much for everyone's time this morning. Thank you.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your lines.